Operator: Hello. And welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today’s presentation, we will conduct a question-and-answer session. [Operator Instructions] I’d now like to turn the conference over to Mr. David Kinney, Director of Investor Relations. Sir, you may begin.
David Kinney: Thank you, Jacquelyn. Hello and welcome to LyondellBasell’s Fourth Quarter 2018 Teleconference. I am joined today by Bob Patel, our Chief Executive Officer; and Thomas Aebischer, our Chief Financial Officer. Before we begin the business discussion, I would like to point out that a slide presentation accompanies today’s call and is available on our website at www.lyondellbasell.com. I would also like for you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. These forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. Actual results could differ materially from those forward-looking statements. For more detailed information about the factors that could cause our actual results to differ, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at www.lyondellbasell.com/investorrelations. Reconciliations of non-GAAP financial measures to GAAP financial measures together with any other applicable disclosures, including the earnings release are currently available on our website at www.lyondellbasell.com Finally, I would like to point out that a recording of this call will be available by telephone beginning at 1:30 p.m. Eastern Time today until 1:59 a.m. Eastern Time on April 2nd by calling 866-444-9039 in the United States and 203-369-1136 outside the United States. The passcode for both numbers is 6482. During today’s call, we will focus on the fourth quarter and full year results, the current environment, our near-term outlook and provide an update on our growth initiatives. With that being said, I would now like to turn the call over to Bob.
Bob Patel: All right. Thank you, Dave. Good day to all of you participating around the world and thank you for joining our 2018 year-end earnings call. Let’s begin with slide three and review the highlights for 2018 and our progress in advancing our value-driven growth strategy. Record setting earnings in our Intermediates and Derivatives and Technology segments partially offset declines, primarily in our Olefins and Polyolefins, Europe, Asia and International segment to provide $4.7 billion of net income and $6.9 billion of EBITDA for the year. Increased cash generation helped to fund growth investments, while we improved our free cash flow yield by over 200 basis points and posted a strong 27% return on our invested capital during 2018. The acquisition of A. Schulman in August made LyondellBasell the world’s largest plastics compounding company. In conjunction with this acquisition, we launched our Advanced Polymer Solutions business segment to provide focus and visibility for this new global platform and quickly went to work on integration that achieved an annualized synergy run rate of $47 million by the end of the year. Progress continues and we remain confident that we will meet or exceed our target to capture $150 million of integration related synergies within two years of the closing date. In March, we launched an innovative plastics recycling joint venture with Suez that provides a meaningful and sustainable solution for plastic waste. We are pleased with initial market demand for this premium recycled plastics and continue to optimize the operational and commercial performance of the business model with an eye toward replicating this model in other parts of Europe. We advanced our pipeline of organic growth projects during 2018 with our new Hyperzone HDPE plant scheduled for start-up in the third quarter of this year and construction of the world’s largest PO/TBA plant on track for completion in the latter part of 2021. These projects not only increase our production capacity but also represent milestones for the commercialization of proprietary technologies, such as our new Hyperzone process for polyethylene and the latest developments from our advantaged propylene oxide and co-product technologies. We continue to actively manage our business portfolio with several small acquisitions and divestitures around the world, while we evaluate other opportunities, including a potential acquisition of Braskem. In the meantime, our cash flows enabled us to opportunistically repurchase 19.2 million shares of LyondellBasell’s stock and return over $3.4 billion to shareholders in the form of dividends and share repurchases. In 2018, our company continued to deliver on our promise of value-driven growth through a balanced strategy of operational excellence, profitable organic expansions, accretive M&A and significant shareholder returns. Please turn to slide four, where I am proud to report that LyondellBasell’s employees and contractors finished the year with a significant 14% improvement in our safety performance. During 2018, our injury rate was challenged by the need to improve upon the safety performance at the facilities we acquired from A. Schulman. We are diligently working to ensure all of our employees, contractors, assets and the communities in which we operate, finish the day in the same or better condition than they were at the start of the day. Our goal remains zero incidents or injuries every day of the year. Let’s turn to slide five and review some of the detail behind our fourth quarter and annual results. Diluted earnings were $1.79 per share for the quarter and we earned $12.01 during the full year. As shown in the chart on the left, after excluding significant non-tax -- non-cash tax benefits in 2017 and 2018, earnings per share increased by approximately 10% in 2018. For the fourth quarter of 2018, we incurred $20 million of integration costs related to the Schulman acquisition that impacted quarterly earnings by $0.04 per share. Transaction and integration costs impacted the full year results by $0.14 per share. In addition to typical fourth quarter seasonal headwinds seen in our industry, our business was challenged by the substantial 40% fall in the price of crude oil that began in early October. Customers often delay orders and destock inventories during periods of declining oil prices, in expectations of lower petrochemical and plastics prices. Volumes decline in nearly every business across our six segments during the fourth quarter. As crude prices rebound in late December and January, our order volumes have improved. We have seen European and Asian industrial demand impacted by disruptions in the automotive sector arising from issues with Chinese consumer lending, new vehicle testing standards in Europe and trade uncertainties. We believe that global consumer demand remained strong and we will be closely watching trends in Asia after the Lunar New Year holidays in early February. During our third quarter earnings call, I outlined three major plan maintenance outages that were estimated to impact fourth quarter earnings by total of $95 million, extended maintenance, low Rhine River water levels and feedstock supply disruptions at one of our suppliers increased the fourth quarter impact to our O&P-EAI segment by approximately $110 million. Additionally, results were impacted by approximately $20 million by unplanned events in our Intermediates and Derivatives and Refining segments. Altogether, planned and unplanned downtime impacted our fourth quarter earnings by approximately $225 million. We do not expect such high levels of maintenance over the coming months. During the first half of 2019, our only planned maintenance is scheduled for the first quarter in our O&P-Americas segment. We expect that first quarter downtime will impact earnings for the whole company by approximately $60 million to $70 million. And now, Thomas, will provide more detail on our financial highlights for the fourth quarter and the year.
Thomas Aebischer: Thank you, Bob, and good day to all of you. Please turn to slide six, which illustrates the developments of our business segments over the past two years. In 2018, LyondellBasell’s business portfolio demonstrated remarkable resilience to changing market environments. Our Intermediates and Derivatives segment profitability improved by approximately 35% and for the first time exceeding $2 billion in EBITDA. Our Technology Group granted 16 licenses for new polyolefin plant designs that helped improve segment EBITDA by 47%. As seen in the chart, these improvements helped to offset declines in O&P-EAI. The profitability offsets provided by the geographic and product diversity of our business portfolio is a recurring theme for LyondellBasell and an attribute that we seek to maintain, manage and extend as we consider strategic options for the company. In Olefins and Polyolefins Americas, high industry margins for polyethylene helped to offset the majority of the decline in Olefin margins. Our business continues to benefit from strong demand and advantaged shale-based feedstocks that enabled us to retain 95% of our prior year profitability for the segment. The results for our new Advanced Polymer Solutions segment includes contributions from the A. Schulman acquisition beginning in late August 2018. Our progress towards our goal of $150 million in synergies is on schedule and will become more apparent during 2019. Our Houston refinery run very well during 2018 and we completed all major scheduled maintenance for the next two years. We expect refining market conditions to rebalance during the first half of 2019 and look forward to strong refinery runs that will capture expected benefits of new sulfur regulations for marine fuels in late 2019 and 2020. Now please turn to slide seven, where you can see that our businesses generated $1.3 billion of cash from operating activities during the fourth quarter, which contributed to $5.5 billion of cash generation for the year. During the quarter, investment in capital expenditures increased to approximately $700 million, as we ramped up construction of our PO/TBA plant and continue to move our Hyperzone plant forward towards start up. As the stock market entered a correction during the fourth quarter, we significantly increased our share repurchases in response to lower share prices. In the fourth quarter, we repurchased 11.5 million shares, the most in any quarter, since 2016. We returned $1.4 billion to shareholders in dividends and share purchases during the fourth quarter. In 2018, our opportunistic buyback strategy allowed us to repurchase 8% more shares than would have occurred, if we deployed the same amount of cash in equal amounts every trading day of the year. The quarter closed with over $1.8 billion of cash and liquid investment on the balance sheet, we approximately -- with approximately $2.5 billion of unused and available credit facilities, we completed the quarter with a total liquidity in excess of $4 billion. Turning to slide eight, let’s review our capital deployment over the past six years. The light blue bars depict our cash generation from operating activities, which has ranged between $4.8 billion to $6 billion since 2013. The stack bars on the right depict our uses of cash ranked in order of priority. Our highest priority is represented by the dark blue on the bottom, our progressively growing dividend. During 2018, we increased our dividend by 11%. This strong increase reflected an improved outlook after we updated our views on Tax Reform and the petrochemical industry. We have a top-quartile dividend that is currently yielding approximately 4.6% return. Our next priority is maintenance capital to support the safety and reliability of our operations. Going forward, this baseline investment is approximately $1.1 billion per year. The remainder of the orange bar is allocated to profit generating capital investment to support growth projects. We estimate this investment will increase to $1.7 billion in 2019. The gray bars reflect our share repurchases. We have returned over $18 billion in share repurchases since the inception of the program. Our buybacks add up to over 280 -- 208 million shares or 36% of the shares that were outstanding in 2013 at the inception of the program. Opportunistic share repurchase will continue to be a component of our capital deployment. The green bar represents last year’s A. Schulman transaction, our first significant acquisition. We continued to maintain a conservative balance sheet that provides optionality to pursue value creating opportunities and we will continuously reevaluate the relative merits of organic projects, grows through M&A and share repurchases to optimize returns for our investors. Now please turn to slide nine, where I would like to address some of your annual modeling questions for 2019. Regarding capital, we are currently planning to invest approximately $2.8 billion during 2019 to support both our base maintenance and growth programs. Approximately 60% is targeted towards profit generating growth, the majority of this growth investment in 2019 will be dedicated to the new PO/TBA plant. Although not all plants are finalized, we estimate capital spending will average $2.8 billion annually through 2021. For 2019, we have a fairly typical plant maintenance schedule, activities during the year will impact annual EBITDA by approximately $160 million to $200 million. In addition to the first quarter plant maintenance in O&P Americas mentioned by Bob the segment will also have a cracker turnaround in the third quarter that is expected to impact EBITDA by approximately $70 to $80 million. In our Intermediates and Derivatives segment we have planned maintenance event that will impact EBITDA by approximately $30 million to $40 million in each of the third and fourth quarter. Our net cash interest expense for 2019 is expected to be approximately $400 million. 2019 annual book depreciation and amortization should be approximately $1.3 billion. We plan to make regular pension contribution in 2019, that total $110 million and we estimate the pension expense of approximately $90 million. We currently expect that 2019 effective tax rate of approximately 20% and that our cash tax rate will be slightly lower than the effective tax rate. I will now turn the call back to Bob for a more detailed discussion of our segment results. Thank you.
Bob Patel: Thank you, Thomas. Let’s turn to slide 10 and review our segment results. In our Olefins and Polyolefins Americas segment, fourth quarter EBITDA was $631 million, a $73 million decrease versus the third quarter. For the full year, segment EBITDA was approximately $2.8 billion. Relative to the third quarter 2018, Olefins results improved by approximately $70 million due to higher ethylene prices and the declining Gulf Coast ethane costs. Our cracker operating rates averaged 93% during the fourth quarter, exceeding the average industry performance of 87%. Approximately 80% of our ethylene production was from ethane and 94% came from NGLs. Polyolefin results were approximately $115 million lower than the prior period primarily due to a $0.04 per pound decline in polyethylene spread over ethylene. For the full year, results decreased by $137 million, Olefin results declined by approximately $445 million primarily due to a $0.06 per pound reduction in ethylene price. Spread improvements in polyethylene and polypropylene of $0.07 per pound and $0.03 per pound, respectively, drove an approximately $360 million improvement in polyolefins to mostly offset the declines in Olefins. IHS is currently forecasting relatively stable polyethylene chain margins for the first quarter. We are optimistic that 2019 will offer our earnings growth for the segment has the pace of polyethylene capacity additions slows, while global demand growth remained steady. Please turn to slide 11 as we review the performance of our Olefins and Polyolefins Europe, Asia and International segments. During the fourth quarter, EBITDA was $127 million or $135 million lower than the third quarter. For the full year, EBITDA was $1.2 billion. We continue to optimize our portfolio in the fourth quarter by divesting a carbon black subsidiary in France. This benefited the quarter by $36 million. Compared to the third quarter, Olefins results decreased by approximately $75 million primarily driven by a decline in volume, combined Polyolefin results decreased approximately $35 million driven by decreased margins, equity income decreased by $43 million primarily due to planned maintenance at our Polish, Korean and Saudi joint ventures. Full year EBITDA results were $764 million lower than 2017. 2017 benefited from a gain of $108 million on the sale of our interest in Geosel, 2018 results included the benefit from the sale of our carbon black subsidiary and a favorable impact of approximately $95 million due to an increase in the euro versus the U.S. dollar exchange rate relative to 2017. Olefin results for the full year decreased approximately $370 million compared to 2017. Increased feedstock costs during most of the year resulted in margin declines, while planned and unplanned maintenance and low Rhine River levels resulted in a volume decrease of approximately 10%. Combined Polyolefins results decreased approximately $345 million due to $0.03 per pound and $0.02 per pound lower spreads in polyethylene and polypropylene, respectively. Joint venture equity income decreased by $46 million primarily due to lower Polyolefins spreads. In January, demand is improving, following the typical seasonal declines and destocking of the fourth quarter. On slide 12, let’s take a look at our Intermediates and Derivatives segment. Fourth quarter EBITDA was $379 million, a decline of $125 million from the prior quarter. For the full year, the segment generated over $2 billion setting an annual record and improving over the prior year by $521 million. Fourth quarter PO and Derivatives results decreased by approximately $10 million when compared with the prior period, primarily due to lower volumes, partially offset by higher margins, Intermediate Chemicals decreased $65 million primarily due to reduced styrene and acetyls margins, Oxyfuels and Related Products results decreased approximately $40 million driven by margin declines due to higher ethanol pricing relative to crude oil and a volume decline due to planned maintenance. During 2018, the $521 million improvement in EBITDA was largely driven by margin improvements across all products due to tight market conditions and improved contracting strategies. We are very proud of the team’s accomplishments in 2018 and we expect continued benefits from this work in future years. While IHS is forecasting some moderation in methanol pricing for the first quarter, we should see improved PO and Derivatives volumes for the segment due to the completion of the planned maintenance at our Bayport, Texas facility during the fourth quarter. Slide 13 charts the full year results from I&D business improvements we discussed during our second quarter earnings call. You might recall that while the majority of the increased profitability was attributable to tight market conditions and reduced maintenance downtime at our facilities, we also described LyondellBasell’s improved contracting strategies and reliability as sources of durable improvements that should persist beyond 2018. Historically, our Intermediates and Derivatives segment generated relatively consistent EBITDA that averaged approximately $1.5 billion per year. We believe our new midpoint in typical markets will be approximately $1.7 billion, while the strong markets seen in 2018 may moderate, we do not believe these improved margins will fully revert in 2019. In addition, we have not stopped pursuing self-help within this business. This year we expect I&D contracting improvements to provide an additional $100 million of annual EBITDA for the segment starting in mid 2019. On slide 14, let’s review the results of our Advanced Polymer Solutions segment. Fourth quarter EBITDA was $86 million, a $16 million improvement over the prior period. For the full year, EBITDA was $400 million. Fourth quarter transaction and integration costs were $20 million. Compounding and Solutions results improved approximately $15 million over the third quarter, as we realized the full quarter of contribution from the addition of A. Schulman product lines. This was partially offset by volume and margin declines in polypropylene compounds. Advanced Polymers results decreased approximately $15 million due to lower margins and volumes. Full year EBITDA results for the segment were $38 million lower than 2017. Transaction and integration costs related to the acquisition impacted the segment by a $69 million in 2018. Compounding and Solutions results improved approximately $15 million, with higher volumes from new product lines, partially offset by lower volume and margin in polypropylene compounds. Advanced Polymers results increased approximately $15 million due to higher volumes. Integration activities are well underway and we have captured $47 million in forward annualized run rate synergies as of December 31st. We expect to see continued improvement in this segment, as we begin 2019 with a return of higher seasonal volumes and our continued focus on capturing value from the integration activities. Turning to slide 15, let’s discuss the performance of our Refining segment. Fourth quarter EBITDA was negative $84 million, $168 million decline from the third quarter. For the full year, EBITDA was $167 million or a $10 million improvement over 2017. Planned maintenance on one of our two crude and coker trains was completed in November. As a result, the average crude throughput was 184,000 barrels per day or 48,000 barrels per day less than the third quarter. With this work behind us, the Refinery is prepared to run full rates for the next two years and benefit from expected market opportunities. In the fourth quarter, the Maya 2-1-1 crack spread declined significantly, averaging less than an $11 per barrel for the first quarter and only $9.57 during November. Over the previous 12 years, the Maya 2-1-1 has been below $10 for only one month in December of 2011. The average over this time period is more than $22 per barrel. Spreads are improving as Pemex adjusts a monthly K factor of the Maya crude oil price formula to ensure that Mexican crude remains competitively priced for the U.S. Gulf Coast refining market. For the full year, Refining margins increased when compared with 2017 due to discounted Canadian crude pricing and improved fluid catalytic cracker conversion rates. Crude throughput was 231,000 barrels per day in 2018, slightly lower than 2017. Absent our recent planned maintenance, throughput would have averaged 256,000 barrels per day for the full year. I’d like to congratulate our refinery team for their diligent work and dedication to improve our Refinery reliability. With our planned maintenance completed, we look forward to stronger contributions from our Refinery in 2019 as we continue to benefit from improved reliability and an increase to Maya 2-1-1 crack spread. I would not like to turn to slide 16 and speak with you about a topic of growing global concern, the management of plastic waste. I think most of you are well aware of how billions of people benefit from advances in plastic. In fact, our products are well aligned with the United Nations’ sustainable development goals such as a reducing hunger and food spoilage by durable packaging. Delivering safe drinking water with plastic pipes and reducing energy consumption with innovative materials. However, we now face the growing problem of what to do with the plastic once it has served its initial purpose. The concern over plastic waste management is leading governments and consumers to consider bans on plastic straws and bags. But these products make up only a small fraction of the plastic waste that ends up in our oceans. Some suggests that we should replace all plastics with alternative materials, but most alternatives bring higher overall environmental and economic costs. On slide 17, I am very proud to highlight an alliance formed by LyondellBasell along with more than 25 of our industry peers and other participants across the value chain that make, use, sell, process, collect and recycle plastics. Together, we have committed over $1 billion with the goal of investing $1.5 billion over the next five years in collaborative partnerships to advance meaningful solutions that eliminate plastic waste in our environment. The alliance’s approach is based on four pillars, infrastructure that stops plastic waste from entering the environment, innovation in materials, technologies and business models that increased the value of plastic waste, engagement with partners and government, business and consumers to enable solutions, and meaningful projects to cleanup plastic waste that has already escaped into our environment, new infrastructure to prevent and cleanup plastic waste is especially important in emerging economies where collection practices often lag the developed world. Once plastic is collected and appropriately sorted, the waste can become a valuable feedstock for technologies that create versatile new materials from these post-used plastics. LyondellBasell’s QCP recycling joint venture with Suez is an example of an innovative business model that embraces this vision for a circular plastics economy. Education and engagement with governments, businesses and communities is critical to the success of these initiatives. The collaborative work of our alliance will be more powerful and efficient than fragmented efforts by each member of company working alone. Our surveys show that 10 rivers transport more than 90% of the river based plastics to the ocean and more than 50% of land based plastic waste leakage comes from only five countries. There will be a focus on developing solutions that stop this leakage at their sources and cleanup areas with the existing plastic waste by recognizing the value of reusing plastic. While we certainly have an immense challenge ahead of us, I am confident that our alliance will find meaningful solutions to help end plastic waste and create a sustainable future for our industry and our planet. Now let’s turn to slide 18 and discuss the outlook for 2019. Ethylene feedstocks were volatile during the second half of 2018 with U.S. Gulf Coast ethane prices spiking up in September and then reverting in November. As we discussed during our third quarter earnings call, LyondellBasell has the optionality across our U.S. assets with ethylene production from both low cost Midwest ethane and feedstock flexibility at our Gulf Coast crackers. NGL prices are likely to show some volatility during 2019 with increased demand from the remaining new ethylene crackers likely to arrive ahead of planned NGL pipeline and fractionation capacity additions. We expect that this pattern of prolong startups for ethylene crackers along with NGL supply additions will smooth the path forward towards forecast for a return to plentiful feedstock availability within the next year. We are encouraged by a forecast for polyethylene demand growth to continue with long-term historical ranges of 4% to 5%. Over the past three years, capacity additions have surpassed demand and moderated operating rates, with less global capacity scheduled to start-up during 2019 and 2020, we believe that LyondellBasell’s new Hyperzone HDPE capacity will find favorable markets as we ramp-up during the second half of this year. Turning to slide 19, let me summarize the year’s highlights. In 2018, our strong earnings were supported by record annual EBITDA in our Intermediates and Derivatives and Technology segments. We will continue to benefit from some of the improvements from both segments through contracting changes in I&D and licensing growth in Technology. Our company generated approximately $5.5 billion of cash from operating activities. This strong cash generation contributed to growth through profit generating capital investments and the acquisition of A. Schulman. Furthermore, we continue to provide significant shareholder returns through a growing top-quartile dividend and $1.9 billion in share repurchases. By completing the acquisition of A. Schulman, we have created the world’s largest plastics compounding business and we are well underway with integration activities that are capturing significant synergies in our new Advanced Polymer Solutions segment. Our strong cash flows and healthy balance sheet leave us well-positioned to take advantage of additional value creating inorganic opportunities. In 2018, we advance on the construction of our Hyperzone polyethylene plant and we look forward to the added profitability will contribute to our O&P Americas segment, following the startup in the third quarter. Last August, we also began construction of PO/TBA plant that will start up in 2021 providing further earnings growth for our I&D segment. We move forward on sustainable solutions for our company by forming quality circular polymers, our premium plastics recycling joint venture with Suez. And in collaboration with our industry leaders we formed the alliance to end plastic waste to generate sustainable global solutions for plastic waste that will benefit our industry and the environment. Going into 2019, we look forward to increase production and availability of shale-based feedstocks and a moderation in the pace of capacity additions that should provide a favorable environment for our new HDPE capacity and that allow us to maximize value from our diverse global business portfolio. With that said, we are now pleased to take your questions.
Operator: [Operator Instructions] Our first question comes from Duffy Fischer. Your line is open.
Duffy Fischer: Yes. Good morning, fellows.
Bob Patel: Good morning.
Duffy Fischer: First question, IHS is calling last year polyethylene demand up about 7%, which is pretty meaningfully higher than, say, the 20-year run rate. One, would you agree with that, and two, where was that extra demand coming from, what caused that to accelerate in your mind?
Bob Patel: So, Duffy, we in fact did see that especially in the first three quarters of the year, quite a bit of it was in the Pipe and Packaging segment of the business. So not only here in the U.S., but more exports as well which drove global demand growth.
Duffy Fischer: Okay. And then on the supply side, again several of the global consultants now have less -- they would have in excess of 20 new naphtha plants coming online in China. They kind of call it 2021 and beyond, obviously you guys got some insight into that with your licensing business. How should we think about what the knowledge base you have kind of across that space, what will that wave look like, obviously it’s not going to be that many, but is it 10, is it 15, how many in that mid 20s periods should we think about naphtha crackers in China?
Bob Patel: Yeah. Duffy, as we have our discussions, we don’t see that magnitude in that timeframe, a lot of them are under consideration. But I would say the timeline is much later than what’s described and so we will look for those updates as those projects reach final investment decisions, but we expect that -- those will go forward further in terms of timing.
Duffy Fischer: Great. Thank you guys.
Bob Patel: Thank you.
Operator: Thank you. Our next question comes from David Begleiter. Your line is open.
David Begleiter: Thank you. Good morning.
Bob Patel: Good morning.
David Begleiter: Bob, just some on Braskem, is there a point where you need to make a decision either way and just move forward as is has been sorry to, say, dragging on for quite a while here?
Bob Patel: Yeah. Well, David, we have -- it’s a very -- as I have talked about in the past it’s a very complex transactions. And in terms of the timeline, the part of the protracted timeline has been the pause because of the change in government and given sort of the shareholder ownership that you all know about Braskem. So I can tell you that we have completed very high quality due diligence. We have a few follow-up items. But I think as we sit here today, we better understand issues and value creation drivers. We had been in discussions with relevant stakeholders, including Auto Brasch. We don’t know whether these discussions will lead to an agreement. We will -- and but I can tell you we’d only move forward at the right price and if we believe the transaction creates significant value for all of our stakeholders.
David Begleiter: Very helpful. And just one last thing, Bob, on O&P Americas EBITDA in 2019, I think, you said you think you can grow this business in ‘19 versus ‘18. Can you provide a little more color on that thought process, given again some new capacity coming on stream and low polyethylene prices in Q4?
Bob Patel: Yeah. I think a lot of that, David, is the Hyperzone plant, our new polyethylene capacity coming online. You will recall today, ethylene margins are -- have been very thin, so to the extent that we can integrate downstream and capture more of the ethane to polyethylene chain margin that will contribute and it’s a world scale plant. So it will make a difference in terms of the O&P Americas profitability.
David Begleiter: Thank you very much.
Bob Patel: Thank you.
Operator: Thank you. Our next question comes from Vincent Andrews. Your line is open.
Vincent Andrews: Thank you. Bob are you -- I am looking at your table two, with the volume that you sold, obviously in polyethylene in the U.S. it was the lowest number on that page and I am assuming the same is true in many of the other products around the world. So are you carrying a lot of inventory into 2019 and assuming you run at usual production rate should we -- should 2019 be a much bigger volume year on an organic basis?
Bob Patel: Yeah. So in terms of inventory, no, we are not carrying unusually high amounts of inventory across our entire system. So I think there is some inventory build for turnaround that we are expecting here in the U.S. of our largest polyethylene plant. It’s a 2 billion pound per year of polyethylene plant that will have a turnaround in the Q1. Otherwise, the inventories, we don’t see is being high across the system. And frankly, downstream because the destocking happened and we think that inventories are quite moderate or kind of below average downstream as well.
Vincent Andrews: Okay. And as a -- as a -- go ahead.
Thomas Aebischer: When you look at the inventory difference year-over-year on a cash basis, it’s about a $90 million change versus 2017, so really small.
Vincent Andrews: Okay. And in the I&D business, one of the bright spots in 2018 was the acetyls chain and the spot margins, if you look at those have just come in considerably since the third quarter of ‘18, what are your expectations for those margins can get back to in 2019?
Bob Patel: Well, Vincent, I mean, it’s difficult to predict where they will go. But you have seen the potential in ‘18 and the correction has been fairly significant. So we will have to see how that develops. I think when you think about our I&D business, the methanol, the acetyls and the styrene margins tend to be the most dynamic part of the portfolio. But as I mentioned in my prepared remarks, underlying all of that, we have more contracting improvements that will accrue to the earnings of I&D starting about mid-year. So, I think, we have reached that sort of the base in I&D from 1.5 to 1.7 and if styrene and methanol markets turn out to be directionally what they were in ‘18, then we should have another very strong year in I&D.
Vincent Andrews: Okay. Sounds great. Thanks so much.
Bob Patel: Thank you.
Operator: Thank you. Our next question comes from Aleksey Yefremov. Your line is open, sir.
Aleksey Yefremov: Thank you. Good morning, everyone. You indicated in one of the slides where your -- you expect PO/TBA earnings to be based on the average for 2014, 2018 margins. But where are the margins today relative to that historical average?
Bob Patel: I don’t know where the margins are today versus the historical average. But we tend to take periods of time when we communicate, because if we take narrower timeframes, price margins can be much higher or lower. So we are very constructive about the market. And if you think about TBA, and specifically, MTBE last year, especially in the second half, gasoline demand and gasoline margins were quite low. So we think some improvement in that in addition to lower butane prices which we saw during the winter. We think those that boded very well for the MTBE part of our I&D business.
Aleksey Yefremov: Thank you, Bob. And you spend some time in recycling, how strong is the business case for some capital deployment into -- to recycling today and also do you see sort of some threat to plastics demand in the near-term and over the next 12 months, 24 months, especially in Europe from government policies here?
Bob Patel: Well, so first of all, what we have learned from our QCP joint venture is that, collection and segregation are very important and in the past what has ailed the recycling business is this -- that the input is very mixed. And so I think that’s what’s the differential about our joint venture with Suez as we get relatively segregated polyolefin waste that and is further segregated in our venture and then washed and then recycled. In terms of impact on demand, I think, it will take a bit of time for the infrastructure to get in place and to be built out. So in the near-term, we don’t expect, meaning the next two years, three years, four years and we don’t expect a meaningful impact, and we will just have to watch and see the pace of infrastructure growth. In terms of Europe, I can tell you that even in recent meetings with that my team has had with leadership in Brussels, the focus is more on a circular economy rather than de-selection of plastics and that was again reaffirmed in recent discussions. So we think that our approach with the QCP venture is very well placed and the idea for us is to now build out that platform throughout Europe, and we are focused on doing that.
Aleksey Yefremov: Thank you.
Bob Patel: Thank you.
Operator: Thank you. Our next question comes from Robert Koort. Your line is open.
Dylan Campbell: Good morning. This is Dylan Campbell on for Bob. A quick question, one of your competitors is pushing a price increase for, they were for January and they are for February for polyethylene in Americas. I guess what is Lyondell’s expectation for the first quarter here for polyethylene price and given that at least one consultant is saying that inventory levels are at the highest level and maybe a decade?
Bob Patel: Well, first of all, I don’t want to comment on direction of prices here on the call. But I can tell you that as we look at January, we are seeing in the U.S. more return to more normal demand and we expect as February, March and April progress, seasonally we tend to see an uptick in demand, because of packaging and so on, and what we hear from our customers is that, that seasonal uptick in demand should be expected. And if you think about downstream inventories, because of the destocking that occurred with the reducing oil price, we think downstream inventory are quite lean. So when you look at inventories, you really have to look at the inventories in the chain rather than just in one part of the chain. And so, I think, all this will normalize and our sense is, if you step back and look at operating rates globally, they still look to be among the highest we have seen in polyethylene in the past four years. So I think the setup is very constructive for the entire year, given that demand typically grows in the first two quarters to three quarters of the year. And so, I mean, I think, operating rates are high and that points to a very constructive market.
Dylan Campbell: Got it. Thank you. And I guess a quick clarification question. You guys mentioned, polyethylene to ethylene spreads declined $0.04 per pound sequentially quarter-over-quarter. But I guess if I look in your data supplement, polyethylene prices declined by only $0.01 per pound to $0.02 per pound and ethylene was fairly flat quarter-over-quarter. I guess was Lyondell selling a bigger discount versus the market or can you just help working me through that math?
Bob Patel: Sure. So that you are referring to the polyethylene gasoline margin for us and the way we transfer ethylene price internally is, it’s a spot -- it’s a blend of contract and spot and you will note that in Q4 we saw a rising spot price of ethylene. So really there was more margin in Olefins and a little bit less in polyethylene. It’s not a reflection on the revenue of polyethylene.
Dylan Campbell: Got it. Thank you.
Operator: Thank you. Our next question comes from Arun Viswanathan. Your line is open sir.
Arun Viswanathan: Hi, guys. Thanks for taking my question. So, first off, just wanted to ask about kind of the level of earnings here was kind of penetrated pretty substantially in Q4 to 1.2, 1.3, I guess we saw like a 1.4, 1.5 in Q4 of ‘16. I guess what gives you guys the confidence in this snap back in Q2 through Q4. I guess, I am just curious on Europe and Refining as well, feedstocks have come down in Europe, is there a possibility that you could see some recovery there or would be -- or pricing would be challenged to take in a lower feedstock environment like that? Thanks.
Bob Patel: Yeah. Thanks, Arun. First of all, so if you think about Q4, there were kind of three big drivers that we think are kind of one-offs. First of all, we talked about the environment of declining crude oil price and the related destocking, and how price moves in that kind of environment, a 40% decline in one quarter is really enormous and that’s largely played out and oil prices rebounded. So we think that’s constructive as we look at first half of ‘19. In terms of Europe and EAI, just from one cracker turnaround that extended past our planned window and the Rhine River and some, so we had one of our suppliers of feedstock had a disruption, that all we think impacted earnings by about $100 million in Q4 largely behind us. Rhine River is back to normal levels, our cracker is expected to be for most of the quarter at full rate, so $100 million impact we think is really isolated to Q4. And then in Refining, I mean, we are sitting here with Maya 2-1-1 spreads that are the lowest we have seen since the ‘08 timeframe and what’s driven that is a few factors. First of all, you will recall that the K -- the so called K factor is what get determines the delta between Mexican crude and light crude, if you will, that K factor has been slow to adjust, so the light-heavy differential has been almost zero of late. So we think that will revert, we are already seeing some correction to the K factor and we expect more to come and of a long gasoline market that I described, which may persist, I don’t know. But I do think the light-heavy differential and in particular, how Maya is priced, we should see improvement as the quarter progresses. So largely the maintenance impacts in Europe were isolated to one unit and they are kind of behind us.
Arun Viswanathan: Great. Thanks. And as a follow-up, maybe, could you -- I don’t know what you can say on this, but maybe if you could just explain, maybe from a high level some of the strategic benefits in a potential Braskem deal, would it allow you to reduce your long ethylene position and it obviously will grow in polypropylene. But and then also how do you feel about the vinyls chain and participating there, is that something that is, would be considered core to you guys? Thanks.
Bob Patel: Yeah. So in terms of the strategic merits, I mean, I think, and first of all, when you think about Brazil. The outlook for Brazil continues to improve and the expectations are positive under the new government. So and it’s an economy, if you look at the IMF report, it’s one of the few in the world that’s expected to grow at a reasonably good rates. We think longer-term the economy there hold good potential, a scenario where we don’t have much of a position, so it makes us even more of a global producer and seller of Polyolefins. In the case of the U.S. and Europe there is in part a consolidation opportunity and also a lot of our technology is deployed within Braskem. So those are just a few of the merits -- strategic merits of a transaction like that. As I mentioned earlier, it’s got to be at the right price and it has to be significantly value creating for our shareholders.
Arun Viswanathan: Thanks.
Operator: Thank you. Our next question comes from PJ Juvekar. Your line is open.
PJ Juvekar: Yes. Hi. Good morning, Bob.
Bob Patel: Good morning.
PJ Juvekar: On Refining, you didn’t mention IMO 2020 and we are hearing some mixed reviews about the benefit of IMO 2020 to GRMs, I was wondering if you could comment on that?
Bob Patel: Well, thank you for asking that. I was hoping somebody would ask me, so I could work it into my commentary. I mean, I think, P.J., IMO we still see meaningful impact, especially because we have such a heavy crude processing refinery. Yes, recent press suggests that maybe some of the impact will be muted. We actually think if we look at forward curves now perhaps the expectations have corrected to the low side, whereas perhaps at the end of last year, there was a little bit more enthusiasm. We do continue to believe that there will be a positive impact from IMO starting in late Q3 into Q4 as the inventory is rotated into the lower sulfur and diesel and that’s deployed across the network around the world and then 2020 we do expect some meaningful impact from IMO 2020. So but the thing we can control is, we have got to operate well, and I think, we have positioned ourselves by completing all of our maintenance to run at full rates and capture whatever opportunity lies ahead and I continue to think that there will be a meaningful benefit and late this year into 2020.
PJ Juvekar: Great. Thank you. And secondly, I am glad to see you taking the lead on plastic recycling issue. I think the industry needed to do something there. I guess when you look at plastic recycling, the issue has been the economics of recycling and recycling never made any money in developed markets like the U.S., maybe it makes money in the emerging markets because of cheaper labor, but can you talk about the economics of that and how do you work that into the solution?
Bob Patel: Well, I think, P.J., well, first of all, I appreciate the recognition in terms of the momentum around the alliance and so on, and it’s -- credit goes to a lot of companies who have been really a catalyst for getting this going. In terms of the economics of recycling, as I mentioned earlier, really better collection and segregation of the source is critical to the economics and then building up scale and doing the recycling closer to where the waste is collected as it’s adding costs by moving waste around the world detracts from the economics. So -- and to tell you that’s what we are focused on as -- with the QCP venture in Europe and we believe it’s a model that can be replicated, certainly within Europe and as we develop that further we will think about other jurisdictions around the world.
PJ Juvekar: Thank you.
Bob Patel: All right. Thank you.
David Kinney: Yeah. If we could limit to one question, we still have eight folks in the queue and I don’t want to take up your lunch hour there today. Thanks.
Operator: Thank you. Our next question comes from Jonas Oxgaard. Your line is open.
Jonas Oxgaard: Good morning.
Bob Patel: Good morning.
Jonas Oxgaard: If we are sticking to the plastic waste here, you have a slide there 17 it shows four different pillars. Can you talk a little bit about how do you actually intend to or how does the alliance intend to invest here? Are they giving grants to companies, universities, is that you are expected to do it in-house? And can you give us a little bit of a breakdown on how much do you think is going to be focused on each of the four pillars?
Bob Patel: Well, so that the -- in terms of the allocation, there will be -- we will move in parallel on all four. There is not waiting more strongly towards one or the other. But if you were to go to the website, endplasticwaste.org you can see the initial actions the alliance will take which were backing and supporting an effort through a company called Renewlogy that is converting waste plastic into fuel. There is a fund called Circulate Capital that’s funding initiatives around the world that directionally end plastic waste. So, Jonas, I’d encourage you to look at that and that’s going to be -- we want to move on all four fronts. We do believe that we have got a slow down and stop which entering the environment, we need to address what’s already in the environment and education and innovation are going to be what’s going to make this more sort of structural and sustainable part in the fund over the long period of time.
Jonas Oxgaard: Okay. Thank you.
Operator: Our next question comes from John Roberts. Your line is open.
John Roberts: Thank you. Slide 18 talks about the expected volatility in ethane, which I assume is even after the Sasol cracker has been pushed out to the back end of this year. Do you think the industry needs to do additional here in the short-term to maybe pulling forward some downtime to ease up on the ethane pressures that might cause another spike?
Bob Patel: Yeah. So, John, that some of the news around the delays is quite fresh and we have not included that in our analysis here. But indeed you are right that what I have read certainly says that, there are some incremental delays in some of the new crackers coming. So our view is that in a lower oil price environment like we have and you will recall last year we said that more of the NGLs that are coming from the Permian contain more butane and propane as ethane was rejected, which caused kind of this run up in ethane. All of this is to say that alternative feedstocks like propane, butane, liquids will be very competitive at lower oil price, more propane and butane available especially after we get through the winter season and export capacity in the near-term is we don’t know of any really big new capacity coming for propane. So I think that in the environment that we are in, you could say that the volatility should be less, if at all, especially with the delays. So -- and you saw some evidence of that in Q4 when oil price dropped, you actually saw propane and butane become a lot cheaper and they were very competitive as feedstocks.
Operator: Our next question comes from Kevin McCarthy. Your line is open.
Kevin McCarthy: Yes. Good morning.
Bob Patel: Good morning.
Kevin McCarthy: Bob, I was wondering if you could elaborate on your outlook for olefins and polyolefins EAI. If you look back to the prior oil collapse in late ‘14, that segment really enjoyed a nice year in 2015, up nearly $450 million, and listening to you today, it doesn’t sound so you are as constructive on that segment relative to the Americas, for example, notwithstanding, some of the one-timers, Rhine River, et cetera. So would you compare and contrast the current environment versus what we saw in the following oil collapse or the previous one, sorry?
Bob Patel: Right. So, Kevin, in the Q4 we had a significant reset in prices and I think that’s, because of oil price declining, that’s occurred. And my team tells me that in January orders look very good in Europe, so we have seen demand come back. And so I am actually quite constructive about the supply/demand balance in Europe. So and I think there will be some impetus to improve profitability as the year goes on. Again, if you step back and you look at global operating rates rising this year and now that supply chain could reset because of the declining oil price we are coming into a seasonally strong period. This is a -- all of this is a set up for improving profitability as we work through the first half of the year. And I think EAI should benefit from the higher global operating rates and the oil price correction behind us, so I am actually quite positive about EAI.
Operator: Thank you. Our next question comes from Frank Mitsch. Your line is open.
Frank Mitsch: Hey. Good morning. And, Bob, I guess, I now have to start watching your interaction at industry events with Frank Bozich. Hey, you said earlier that you are closely watching Asia post Chinese New Year, obviously, it starts in less than a week and I am curious as to what your best guesses as to what we will see particularly with respect to the automotive markets, obviously, very important for polypropylene. What are your expectations that we are going to see in a few weeks’ time there?
Bob Patel: Well, I think, ultimately, we will see what happens in about 10 days or 14 days. But, I think, Frank, given that we have been through a pretty big destocking cycle and my view at least on the packaging and the non-durable side is that, demand is growing and all of sort of the demographic factors that we have discussed in the past that is still in place. In terms of automotive, I think, credit is loosening over there and the middle class is growing. So it seems to me that demand for automobiles should be constructive, barring some event that none of us can predict. So I am quite optimistic and hopeful about what we will see post Chinese New Year.
Operator: Thank you. And our next question comes from Hassan Ahmed. Your line is open.
Hassan Ahmed: Good morning, Bob.
Bob Patel: Good morning, Hassan.
Hassan Ahmed: Well, the question on the U.S. ethylene market, as we took a look at ‘18, obviously, there was extreme volatility I’d actually even call it a fairly sloppy market. Beyond obviously oil doing what it did, I think, one of the main reasons was obviously a mismatch between ethylene capacity coming online, derivatives not sort of following suit immediately. It seems now that as we look at ‘19, both ethylene and deriv capacity seems to be coming online in lockstep. So is it fair to assume that the ethylene market in the U.S. should not actually see the sort of volatility we saw last year?
Bob Patel: Indeed, I mean, I think, Hassan, the volatility could come from the degree of reliability we see in the various crackers and as new very large world scale units come online, can imagine if one 3 billion pound cracker comes offline and that could cause a significant change in the supply/demand balance. The other thing that, I think, we will have to watch is the timing of derivative expansions versus cracker expansions. If derivative expansions come sooner, that could actually cause more firmness in the ethylene market. I think the opposite is unlikely, with anything, derivatives could come a little bit earlier, especially in one or two projects that are more integrated in terms of their setup.
Thomas Aebischer: It’s not just polyethylene, it’s glycols, it’s alpha-olefins and lot of other ethylene consumers as well.
Operator: Thank you. Our next question comes from Jeff Zekauskas. Your line is open.
Jeff Zekauskas: Thanks very much. Oils rebounded since the beginning of the year from roughly 50 to 60 in brent terms, but hopefully and really hasn’t moved in the United States, maybe polymer grade is still a little bit under $0.40 and it’s come down from $0.60. Can you talk about some of the dynamics that have pushed propylene down, what are your expectations for this year and are you surprised that it hasn’t moved?
Bob Patel: Well, I think, Jeff, as we see more PDH capacity come into the market, it will probably reduce the volatility of propylene, because now you have a bigger base that generally runs and is not dependent on feedstock flexibility, right. So that’s been part of the source of propylene price volatility is when feedstocks change in the past that it had a big impact on the amount of propylene volume that was available. But now as the base of PDH capacity grows, it will probably act to stabilize and maybe reduce some of the volatility.
Operator: Thank you. Our next question comes from Steve Byrne. Your line is open.
Ian Bennett: Hi. Thanks. This is Ian Bennett on for Steve. The past couple of quarters as Lyondell’s EBITDA has been declining, your net debt has been increasing to buy back more stock and I think that sends a strong message about your view of the longer term trajectory of the earnings and value of this business. If EBITDA were to continue to decline, how willing are you two continue to increase net debt to buy back stock and does that affect your ability at all to pursue Braskem?
Bob Patel: Yeah. I will have -- Thomas will take that question.
Thomas Aebischer: Well, thank you, Ian, for the question. So, I think, if you look, so first of all, we took a significant advantage of attractive share price, especially in the fourth quarter. We have always said that we are buying back our own share opportunistically. I think it’s, when you ask your question it’s important to note that the -- we obviously increased net debt, you are absolutely right. But the main reason to increase net debt or the reason is actually the Schulman acquisition. So if you look at cash flow from operating activity, is $5.5 billion for the year. We have CapEx of $2.1 billion and dividend and share buybacks of $3.1 billion. So for the share buyback program we actually did what we always said, that we are using excess cash flow to buy back our own shares. Now we are at a point where we have to make decisions as the share price stays attractive to actually raise debt in order to replenish our debt portfolio, which we have used the cash to -- for the acquisition of Schulman. So we have sufficient funds as I said, the liquidity is about $4 billion. We have sufficient funds to pursue our growth initiatives, as well as to continue with our share buybacks opportunistically.
Bob Patel: Yeah. And Ian, if you think, step back and strategically look at what we have been doing. We have been looking to create shareholder value by pulling a number of levers. We had meaningful organic growth in ‘18, inorganic growth with the Schulman acquisition and we bought back a meaningful number of our shares. So I think you ought to look for that to continue, because this is a company that has many levers and we will look for the one that creates the most value as we think about deploying our operating cash flow or our balance sheet.
Operator: And our last question comes from Matthew Blair. Your line is open.
Matthew Blair: Hey. Good morning, Bob. So last quarter enterprise announced a couple of new PDH plants, we are wondering, if you can say whether you are a customer here and how might this affect your potential polypropylene and I guess potential PDH plant as well?
Bob Patel: Yeah. So with all of the other initiatives we have had going on, we have kind of, with the PP plant we are still considering it and certainly the buy versus build scenario on propylene is one that we are contemplating today. And as you know from your conference, I know, Jim very well, and I spent some time with them, so that’s an option, depending on the economics of buy versus build. We will continue to evaluate that.
Operator: Thank you. And we have no other questions at this time.
Bob Patel: Okay. Great. Well let me offer a few closing remarks, if I may. So, after a challenging fourth quarter, where a typical seasonality was exacerbated by declines in crude oil. We are looking forward to rebounding demand from restocking of supply chains. In 2019 we will continue to accrue synergies in our APS segment from the Schulman acquisition. We look forward to growth from our new Hyperzone production and anticipate an improving refining market, with a lighter planned maintenance schedule in 2019, we are really well prepared to maximize production to meet the needs of growing markets and our global business portfolio provides resilience, we are well-positioned to pursue any other value creating opportunities. So thank you for your interest and we look forward to updating you in April on our first quarter results. With that we are adjourned.
Operator: Thank you for your participation in today’s conference. You may now disconnect at this time. Have a wonderful day.